Operator: Good morning, and welcome everyone to the Equitable Holdings Full Year and Fourth Quarter Earnings Call. [Operator Instructions] I would now like to turn the call over to Erik Bass, Head of Investor Relations. Please go ahead.
Erik Bass: Good morning, and welcome to Equitable Holdings full year and fourth quarter 2024 earnings call. Materials for today's call can be found on our website at ir.equitableholdings.com. Before we begin, I would like to note that some of the information we present today is forward looking and subject to certain SEC rules and regulations regarding disclosure. Our results may differ materially from those expressed in or indicated by such forward-looking statements. Please refer to the Safe Harbor language on Slide 2 of our presentation for additional information. Joining me on today's call are Mark Pearson, President and Chief Executive Officer of Equitable Holdings; Robin Raju, our Chief Financial Officer; Nick Lane, President of Equitable Financial; Jackie Marks, AllianceBernstein's Chief Financial Officer; and Onur Erzan, Head of AllianceBernstein's Global Client Group and Private Wealth Business. During this call, we will be discussing certain financial measures that are not based on generally accepted accounting principles, also known as non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures and related definitions may be found on the Investor Relations portion of our website and in our earnings release slide presentation and financial supplement. I will now turn the call over to Mark.
Mark Pearson: Good morning and thank you for joining today's call. 2024 showcased the power of Equitable Holdings' integrated business model and the strong growth momentum across our retirement, asset management and wealth Management segments. This is a fantastic time to be focused on the U.S. retirement market and Equitable is uniquely positioned to grow and deliver value to all our stakeholders. I'll briefly highlight our 2024 results and the progress we're making against each of our 2027 financial targets. Before turning over to Nick and Onur to discuss initiatives to help sustain growth momentum for Equitable and AB. Robin will then discuss our financial results and provide some guidance for 2025. Turning to Slide 3. Full year non-GAAP operating earnings were $2 billion or $5.93 per share, which is up 29% year-over-year on a per share basis. Adjusting for notable items, non-GAAP operating EPS was $6.18, which is up 20%, compared to the prior year and above our 12% to 15% annualized growth guidance. Assets under management and administration increased 10% year-over-year and now exceed $1 trillion, which bodes well for growth in fee and spread-based earnings as we move into 2025. We generated $1.5 billion of cash flow to the Holding company at the high end of our guidance range with over 50% coming from our asset and Wealth Management businesses. For 2025, we forecast cash generation of $1.6 billion to $1.7 billion, continuing the ramp to $2 billion by 2027. This strong cash flow enables Equitable to consistently return capital to shareholders and we deployed $1.3 billion in 2024, equating to a 66% payout ratio consistent with our 60% to 70% target range. We also continue to make progress against key strategic initiatives. Through year end, we have achieved $100 million of run rate expense saves and have clear plans to meet or exceed our $150 million target by 2027. Repositioning our investment portfolio has enabled Equitable to generate $80 million of incremental net investment income to date, putting us ahead of plan to achieve $110 million by 2027. Finally, AB successfully executed the separation of its Bernstein Research Services business and completed its New York City office relocation. AB expects to produce a 33% plus adjusted operating margin in 2025, which represents over 400 basis points of improvement from 2022. Shifting to our business segments. We continue to deliver strong organic growth with full year net inflows of $7.1 billion in retirement and $4 billion in wealth management. AB reported full year active net inflows of $4.3 billion and had its second highest year ever for firmwide sales. Importantly, this was achieved while maintaining a stable fee rate. AB also increased private markets AUM by 14% to $70 billion, helped by investments from Equitable's general account. Equitable also established itself as a clear leader in the emerging in plan guarantee market, highlighted by over $600 million net inflows in the year from BlackRock's LifePath Paycheck offering and the announcement of a new partnership with JPMorgan Asset Management. We expect additional inflows in the first half of 2025 and see significant growth potential in this market over the next few years. On Slide 4, we highlight some of the key performance indicators for our business segments and the progress we have made against our Investor Day targets. As a reminder, there are three key tenants to our strategy. First, we're focused on defending and growing our core retirement and asset management businesses, where we have scale and well-established market positions. Secondly, we're looking to scale adjacent high growth businesses, where we have a clear right to win. These include our Wealth Management segment and AB's private markets platform. Finally, we want to seed future growth by finding new emerging market opportunities. These include in plan guarantees and AB's entrance into the China market and expansion in insurance asset management. We have made significant progress against each of these objectives and are on track to meet or exceed all our key 2027 targets. I've already mentioned many of these accomplishments as part of our 2024 highlights. So I won't repeat them, but the results demonstrate that we have chosen to play in attractive markets and have the right strategy to be successful in each of them. There are meaningful synergies between our retirement, asset management and wealth management businesses, enabling us to generate better economics by participating in the full value chain. Turning to Slide 5. We provide a scorecard against our three primary financial targets, which are to grow annual cash generation to $2 billion by 2027, deliver a 60% to 70% payout ratio and grow non-GAAP operating earnings per share 12% to 15% annually. As I mentioned, we generated $1.5 billion of cash in 2024 and expect this to grow to $1.6 billion to $1.7 billion in 2025, a 7% to 13% year-over-year increase. This puts us well on track to achieve our $2 billion target by 2027. And Robin will talk later about actions we've taken to further improve visibility into future cash flows. Our predictable cash flow and strong balance sheet enables us to consistently return capital to shareholders regardless of the market environment. Over the past two years, we've had a payout ratio of 67% above the midpoint of our 60% to 70% target range. During this period, we have reduced shares outstanding by 15%. Turning to earnings growth. We had a slow start in 2023, due to headwinds from elevated mortality and the lagged impact of the equity market decline in 2022. But 2024 marked an inflection point for the business. Non-GAAP operating EPS excluding notable items increased 20%, bringing the two-year growth rate to 12%, which is the low end of our target range. We expect this growth momentum to continue in 2025 and remain confident in delivering 12% to 15% annualized growth through 2027. Now, I'd like to turn the call over to Nick and Onur to discuss some of the things we're doing to sustain organic growth in our core businesses and scale in adjacent markets.
Nick Lane: Thanks, Mark. I'll start by discussing some of the key growth initiatives we're focused on in retirement and wealth management. Let me start with retirement. First, in individual retirement, we continue to extend our edge through client-centric innovation, building on our leadership position in the fast-growing RILA market. We were the pioneer in that market and in recent years, we've introduced new strategies like dual direction and added new indices. And this year, we will enhance our core SCS and SCS income products. We see rising consumer demand for lifetime income solutions and Equitable is well situated to meet this need. We are also a leader in the registered income product market where barriers to entry are high and we face limited competition. While our offering will continue to evolve based on consumer needs, we won't deviate from our commitment to providing attractive returns with a narrow range of outcomes for our shareholders. Importantly, the strong growth we see in individual retirement has benefits across Equitable, as it drives asset management net flows and wealth management revenue. Turning to Group Retirement, we are broadening our institutional offering and recently became a provider of income solutions for leading HSA administrator. As with most institutional markets, flows will be lumpy and episodic, but we expect to receive about $200 million in the first quarter. We're also looking to become a bigger player in the small case 401(k) and 457 markets by introducing Equitable Sponsored Pooled Employer Plans or PEPs, that will allow our advisers to leverage their relationships with small business owners and professional organizations. This market has been growing 9% annually over the last five to seven years, and it aligns well with our distribution, has attractive margins and complements our core 403(b) business. Next, in Wealth Management, I'm very excited about the momentum in our wealth management business. Our brand and supported independence model are resonating well in the market with record AUA and net flows. We see opportunities to further accelerate. 2024 marked a record year for experienced advisor recruiting. We also recently hired a new Head of Business Development from a leading competitor to enhance our focus in this area. When coupled with our strong organic growth, this should continue to drive sustainable momentum in our wealth planner count, which was up 10% this year and advisor productivity. Let me turn it over to Onur to discuss AB.
Onur Erzan: Thanks, Nick. At AB, we have several initiatives to expand our offering and accelerate growth. As we have discussed, a key focus is growing our private markets platform to $90 billion to $100 billion of assets by 2027, at which point it will drive over 20% of our revenues. We recently hired a new team focused on the private AB's market, which adds capabilities that align well with the needs of Equitable and our other insurance clients. Some of our recently launched strategies, which were seeded by Equitable have also begun to scale. For example, we recently added new client mandates in NAV lending and residential mortgages. In addition, we are expanding semi liquid offerings like our AB CarVal Credit opportunities interval fund, which now has over $200 million of AUM and will soon be going live on additional distribution platforms. We have seen good success with our active ETF platform, which now has over $5 billion of AUM across 17 products, and we expect this growth trajectory to continue. We are also excited about the momentum in our separately managed account offering, which had record sales and net flows in 2024 and we are expanding our tax managed SMA platform to include multi asset solutions. Finally, in the fourth quarter, we announced that we are making a $100 million investment in RGA sidecar vehicle, Ruby Re. We expect to generate an attractive return on the capital we have invested, and we also signed an investment management agreement to manage $1 billion for RGA, which will be fully in private credit strategies. With Equitable's support, we will continue to evaluate other potential sidecar opportunities to help us capture the significant growth opportunity in insurance asset Management. I will now turn it over to Robin to discuss fourth quarter results.
Robin Raju: Thanks, Onur. Turning to Slide 7, I will highlight our results from the quarter. On a consolidated basis, Equitable Holdings reported non-GAAP operating earnings of $522 million or $1.57 per share, up 18% year-over-year. The only notable item in the quarter was below plan alternative investment income, which reduced earnings by $27 million after tax or $0.08 per share. Adjusting for this item, non-GAAP EPS was $1.65 per share, up 23% year-over-year, driven by organic growth across our businesses, favorable markets and share repurchases. GAAP net income was $899 million for the quarter, significantly above our operating earnings, driven by non-economic impacts from our hedge portfolio, which was offset by changes in OCI. Segment details are provided in the appendix, but I want to highlight a few drivers of this quarter's results. Starting with Asset Management, AB reported very strong fourth quarter earnings, helped by $66 million of performance fees from public alternative strategies and a lower comp to revenue ratio. AB's results tend to be seasonally strong in the fourth quarter and we still forecast an adjusted operating margin of 33% in 2025, assuming neutral markets. In Protection Solutions, full-year earnings were $239 million ex notable items, consistent with our $200 million to $300 million guidance range. In the fourth quarter, gross mortality claims were close to our expectation, but we experienced elevated net mortality because of two large claims where we had minimal reinsurance coverage. For the quarter, reinsurance coverage was 12% of gross claims, below the 15% we typically expect. The volatility is not surprising given the concentration of our life block in older age policies with high face values and low retention levels. And it does not change our outlook for mortality. As a reminder, we expect seasonality in this business with higher life claims in the first and fourth quarters. Expenses were elevated in the fourth quarter due to strong business growth in 2024. Sales and VNB were up significantly, which resulted in higher commission payouts and incentive comp accruals. This is a theme across most of the segments and is particularly evident in Individual Retirement, Wealth Management and Corporate and other. We view most of the increase in expenses this quarter as a good expense given they are variable in nature and reflect the growth in our businesses over the past year. As Mark highlighted, across Equitable and AB, we achieved a $100 million of run-rate savings through the end of 2024 and are on-track for at least $150 million of annual savings by 2027. We will continue to find ways to become more efficient and eliminate bad expenses from the enterprise. You should see expenses grow slower than revenues over time, although there is some seasonality. I would note compensation and benefit expenses for our businesses tend to be highest in the first quarter. Finally, as expected, we had a lower tax-rate across most of our businesses due to some favorable discrete items in the quarter. This reduced the overall company tax rate to 17% in the quarter, but the full-year tax rate came in at 19%, consistent with our guidance. Turning to Slide 8, I'll provide some guidance for 2025. We have good momentum with double-digit growth in both spread and fee-based income, which should continue given healthy net flows and a tailwind from interest rates and equity markets. We expect spread income to roughly track the growth in general count assets, excluding embedded derivatives, while fee revenue across Retirement, AB and Wealth Management will benefit from higher average AUM balances. For Protection Solutions, we forecast 2025 earnings ex notable items to come in at the lower end of our $200 million to $300 million range, similar to what we reported in 2024. This assumes stable mortality experience and alternative investment income at the lower end of our target range. For Corporate and other, while there can be some quarterly volatility in results, we expect the segment to generate a full-year loss of approximately $400 million. We also project alternative returns in our investment portfolio to come in at the lower end of our 8% to 12% target range, an improvement from the 5% return reported in 2024. I expect alternatives to start the year in the 5% to 6% range before grading up as M&A and IPO activity accelerates in the U.S. Finally, we expect our tax rate to be 20% for the overall company and we forecast a 17% rate for our insurance businesses, 26% for our wealth management business, and 30% for AllianceBernstein. Putting it all together, we expect 2025 EPS growth to be consistent with our 12% to 15% target. Turning to Slide 9, we will highlight Equitable's capital management program and cash flow outlook. During the quarter, we returned $335 million to shareholders, including $260 million of share repurchases. For the full year, we reduced shares outstanding by 7%. We ended the year with $1.8 billion of cash and liquid assets at Holdings, down from $2 billion at the end of the third quarter. In addition to share repurchases and common dividends, we also used $174 million to purchase additional AB shares and $56 million to retire some of our Series B preferred equity. We expect our year-end 2024 combined NAIC RBC ratio to be approximately 425%, above our 375% to 400% target. For the full year, we had cash generation of $1.5 billion, which is at the high-end of our guidance range. Importantly, more than 50% of this cash flow is coming from non-insurance businesses. As Mark mentioned, we expect cash generation to increase to the $1.6 billion to $1.7 billion range in 2025, putting us on-track to achieve $2 billion of annual cash generation by 2027. We also continue to take steps to optimize our balance sheet. In January, we established a new Bermuda reinsurance subsidiary. The entity provides us optionality and could be used to reinsure in-force liabilities and/or new business. The Bermuda frameworks align well to our internal economic framework and will support us generating consistent cash flows to holdings. We're also making good progress on initiatives to reduce volatility and improve the returns on capital into Life business and remain on-track to provide an update in the first half of 2025. Turning to Slide 10, we highlight the attractive returns that we generate on capital allocated to new business. As a reminder, value of new business or VNB represents the present value of the future cash flows generated by new business sales in our Retirement and Wealth businesses. This is the value we earn above and beyond the economic cost of capital. In 2024, we had record value of new business of approximately $775 million despite only a modest increase in the total capital deployed for growth. This highlights how we have been able to successfully focus our business on higher margin and less capital-intensive products. In 2024, we saw credit spreads compress to historic lows, which puts pressure on margins for RILAs, but we remain disciplined in pricing new business for 15% IRRs and a narrow range of outcomes. We're able to do this because of our integrated business model and the strong VNB we produce will drive future cash flow growth and generate value for shareholders. Now, let me turn the call-back to Mark. Mark?
Mark Pearson: Thanks, Robin. I'm excited about the momentum that Equitable has entering 2025. We're focused on attractive growth markets and our results demonstrate the power of our integrated business model across insurance, asset management and wealth management. We're well on track to achieve our 2027 financial targets and are confident in our ability to execute and deliver value for all our stakeholders. I'd now like to open the call to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Ryan Krueger with KBW. Please go ahead.
Ryan Krueger: Good morning. My first question was on Bermuda. Do you view it more as something that just helps sustain the 60% to 70% payout ratio target as you fund higher growth in the Retirement industry, or should we think of it as something that could either lead to upside to that or free-up existing capital on in-force blocks?
Mark Pearson: Good morning, Ryan. So we're pleased to establish the Bermuda entity on January 1st. As I mentioned on the call, this will continue to support the consistent cash flow and provides us optionality going forward. The optionality, meaning it can give us the ability to reinsure in-force business or support and do flow reinsurance for new business as well to sustain the growth momentum that we have and continue to achieve our free cash flows of $2 billion by 2027. So it's aligned to our strategy and allowing us to consistently generate capital to the holding company in cash and it also gives us optionality to support future growth while maintaining our economic discipline.
Ryan Krueger: Got it. And then a question on AllianceBernstein. I guess as the majority shareholder, there was some discussion I think by Seth at a prior conference about the possibility of considering a C-corp conversion. I guess curious on how Equitable is thinking about that as the biggest shareholder of the company.
Mark Pearson: Thanks, Ryan. Maybe I'll ask Jackie to talk about it first from an AB perspective, because that's where it starts. Go ahead, Jackie. You on mute, Jackie.
Jacqueline Marks: Can you hear me?
Mark Pearson: Okay.
Jacqueline Marks: Sorry about that, must have been a delay. At AB, we've done extensive analysis over recent months looking at that C-corp conversion. And honestly, our analysis indicates that AB's current structure is in the best interest of our unitholders. And at this time, we don't see any reason to adjust that. AB, as you know, is structured as a publicly traded partnership, which gives us an attractive tax structure and if we were to change that to a C-corp, AB would be subject to much higher tax rates, leading to significant dilution in our EPU. It's also important to note that our tax structure is different than many of the alternative asset managers who did convert. We currently pay a lower effective tax rate than they did pre-conversion and we would have a much higher earnings dilution than they did. Therefore, we would need to see significant expansion in our multiple. And at this time, it's just too big a bet to make for our unitholders.
Mark Pearson: And Ryan, from an EQH perspective, it's similar for AB unitholders, we don't see the value in paying a higher tax rate for our shareholders given the growth momentum we have going forward.
Ryan Krueger: Okay, great. Yes. Thanks. That's very clear.
Operator: And your next question comes from the line of Elyse Greenspan with Wells Fargo. Elyse, please go ahead.
Elyse Greenspan: Hi, thanks. Good morning. My first question is just looking to get more color just on protection, right? You did guide to the lower end of the range for '25. Just any color that you can provide there and then, Robin, I think in the past, right, you were talking about potentially entering into reinsurance or other things with protection when the results were more volatile. I think that's still off the table at this point, but if you can update us on thoughts around that as well.
Robin Raju: Sure. So just taking a step back, overall protection earnings for the quarter were about 6% of total EQH earnings for the full year, 10% we see strong growth momentum and we want to continue to invest into Retirement, Asset and Wealth Management businesses and this doesn't offer the same attractive returns as those businesses that we have for us today. If I take your question in two steps, first on guidance, for the full year in 2024, we achieved $238 million of earnings on a normalized basis and that was on a relatively good year from a mortality perspective, so that's why given the in force that we have with higher face amounts that we've seen some volatility on it, we're guiding towards a lower range of our $200 million to $300 million, so I would expect anywhere between $200 million to $250 million being a good year considering results from this year. On the solutions that we looked at before, as you know we started this trying to manage on volatility and we looked at excess loss reinsurance to help mitigate that volatility, but the pricing wasn't attractive relative to the economic value that we would give up. So that led us to look at a broader range of solutions. That goes anywhere from good expense management, which the teams are actively working on today and that's already taking place to in force actions such as reinsurance as well. And so, we're continuing to make good progress on that and we're on track to provide an update in the first half of '25.
Elyse Greenspan: Thanks. So then my second question, can you provide just an update on BlackRock, the LifePath Paycheck product, sorry, just kind of the outlook there on and how you're thinking about kind of '25 as well as '26 targets.
Nick Lane: Sure. This is Nick. In the near term, we'd expect similar levels of inflows in '25 as we received in '24. As a reminder, in '24, BlackRock had six plans fund, and we received approximately $600 million of total flows. We don't have total visibility into the timing of those funding of those plans and flows will continue to be lumpy. I'd highlight that going forward in the longer term, we continue to see significant opportunity in the $8 trillion 401(k) markets for in plan guaranteed solutions, but it's still early days. And as I previously mentioned, we're further broadening and deepening our institutional offers with our leading partnership with an HSA provider to support their enhanced savings offers as well as our partnership with JPMorgan that expects to come out with an in-plan solution at the end of this year or early next year. So I think our track record of innovation and the premier partnership network that we've built really put us in a good position to capture demand for this. Lastly, I'd just as a reminder, highlight that in our 2027 financial targets, we did not assume any contributions from our institutional, so this would be upside.
Elyse Greenspan: Thank you.
Operator: And your next question comes from the line of Suneet Kamath with Jefferies. Please go ahead.
Suneet Kamath: Thanks. Good morning. I want to start on the annuity business. So, we've seen strong nominal sales for both you and the industry for the past couple of years, but we've also seen a pretty significant tailwind from the markets that's presumably helping fund some of those nominal sales. So I guess the question is, do you have any data that looks at are you reaching more people, are you selling more individual contracts just so we can kind of separate growth from the market versus growth from that's truly organic?
Nick Lane: Great. Thanks, Suneet. As you highlighted, we are seeing strong growth with our record $7 billion in net flows. The short answer to your question is, this is coming from both fronts. New policy counts increased roughly 15% in 2024, and we're also benefiting from higher account balances with annual policy size up a little bit over 13% in the same period. As highlighted, there's roughly $600 billion of flows coming out of 401(k) in 2024, and these are going into new retirement solutions and wealth management offers. We remain bullish about the Retirement market, we've doubled volumes with record sales over the last three years. And I think what's key is our privileged distribution network, both Equitable Advisors and in third party with the trusted relationships we've built over the last decade are allowing us to access this need.
Mark Pearson: So Suneet, it's Mark. If I could just add a couple of things just at the strategic level, I mean, you're right, there has been strong flows into the annuity market. It used to run at $250 billion a year, last year it's $420 billion. You're absolutely right as well. It's been favorable tailwinds for that. Obviously, annuity sales do better when interest rates are higher, for example. But to Nick's point, the fundamentals driving the need for annuities are not going away. 4.1 million Americans are hitting age 65 at today. As Nick said, the size of the 401(k) market, $7 trillion there that will move from accumulation into deaccumulation naturally. And then the regulatory support has been very favorable for the industry where you see strong bipartisan support for SECURE Act, et cetera. So yes, it does fluctuate with some of the interest rates and equity markets, but the tide is very much in favor of the industry. It's a very good market to be in.
Suneet Kamath: Got it. Understood. And then my second is for Robin. So $1.8 billion of Holdco cash, so $1.3 billion of that is above your target. Your RBC is now well above your target. You have Bermuda now. It just seems like there's a tremendous amount of capital flexibility, so I guess at what point do you feel comfortable drawing down that $1.3 billion of excess?
Robin Raju: Thank you, Suneet. As you mentioned, we feel good about our strong capital position. It gives us confidence that we'll be able to capitalize on this attractive growth opportunity that we see in the U.S., that Nick and Mark just mentioned and achieve our 60% to 70% payout ratio. Keep in mind, in 2024, we funded record levels of individual retirement, new business and supported the $600 million of initial inflows from the BlackRock product. And at the same time, we delivered on the 65% of our payout ratio at the midpoint of our range. Our Holdco cash will fluctuate on a quarterly basis depending on the timing of when we receive dividends from the subsidiaries. In the quarter, we received good upstream dividends from Asset, Wealth Management and our Insurance businesses of over $500 million, so you're always going to see some fluctuation on the quarterly Holdco cash. Now we do -- we expect to reduce the current excess cash position toward the target levels, but we're cognizant that markets and the macroenvironment can change quickly, so we'd rather do this in a disciplined way year-over-year as opposed to a one-time extraordinary dividend or accelerated share repurchase. So, expect us to remain disciplined, expect us to find the best uses for use of those cash flows and expect us to continue to grow the business and deliver share return for shareholders.
Suneet Kamath: Okay. Thanks, Robin.
Operator: Your next question comes from the line of Thomas Gallagher with Evercore. Thomas, please go ahead.
Thomas Gallagher: Thanks. Nick and Robin, I just wanted to ask a kind of a broader question on what are the range of things you're really considering as you're evaluating protection, the protection business? And is it purely -- on one-hand, I'm thinking it could be as simple as, you know, an equitable funded Bermuda reinsurance transaction of some sort and on the other side of things, you know, are you considering like a full divestiture of this business through a third-party transaction because there's a lot beyond mortality, you also have like a group benefits platform in there. I just want to get a sense for how are you considering the full range of options or is it something that's much more specific just on capital efficiency and limiting mortality volatility. Can you help unpack that?
Robin Raju: Sure, Tom. As I mentioned, we're going to provide an update in the first half of 2025. But let me break it out in components of what we are doing. First is good old expense management. We have a business that has a low-return on capital, and we have to improve the returns on it and the team is actively taking action to improve the expense base on that to support where we are in terms of the sales and the revenue that we're getting across it. Second, as you mentioned, we did set-up the Bermuda entity and that provides us options that we can explore to improve returns on capital. And third, we will leverage and then third-party reinsurance to unlock capital and value of our in-force block. So, we're looking at all levers, and we'll decide on what's best for shareholders as a result but expect an update in the first half of the year and expect us going forward that we're going to continue to focus on growth of Retirement, Wealth and Asset Management.
Thomas Gallagher: Okay. That's helpful. And then just wanted to come back to RILA market and competition and where you think everything is headed here because obviously, you've had good organic growth in RILA. There's certainly speculation that one of your big RILA competitors might be changing hands and if it's you know, ends up being transferred to a more aggressive alternative competitor, I think there's some concern that, that market could come under some pressure pricing-wise, competition wise. So anyway, just curious what you think about that generally and do you think it's still a big enough pool where you're not overly worried about that dynamic.
Nick Lane: Yes. This is Nick. We're still bullish on the RILA market and given the structural components that Mark spoke to, believe we're still in the relatively early to mid-innings of the growth of this market, given the demographics, given the favorable legislation and given the money in motion. In terms of competitive activity out there, to date, net-net, it's been positive, and it's grown the size of the pie. We benefited from that as the market-leader. This year, sales were up roughly 30% and RILA -- LIMRA projects that the market will continue to grow at 10% a year. We are very aware of competitive trends in pricing. Look, we've seen this before. As you get a new entrant, there does tend to be this period of aggressive teaser pricing. We've seen this and it's temporary and it's not sustainable. Obviously, our RILA margins on an absolute level have come down since we were the pioneer in the market over a decade ago, but we're still generating very attractive returns on new business and continue to achieve our targeted 15% IRRs. I would emphasize we focus on value and remain disciplined in our cap setting and that's allowed us to continue to generate the record sales, but also record VNB that we're seeing out there. So looking-forward, we continue to be excited about the market. I think any noise with competitors, focus is people on who's been a consistent provider and is a stable source to provide this value proposition to their consumers and their advisors when they need it most.
Mark Pearson: Tom, it's Mark. If I could just add on to what Nick said there, which is absolutely right. I think, obviously, we always have to stay alert to competitive pressures in these types of markets and we faced it before, we see some of the PE-backed insurers already in the market, so it wouldn't be new to us if somebody else bought a platform. But I think one of the things we'd point to is, on our distribution model, we don't just rely on wirehouses or third parties, we have equitable advisors. It's a strong stable source of revenue flows for us and that's a competitive advantage we have. And then secondly, I think our business model, Tom, if you -- if new entrants come in with more aggressive asset-backed offerings to the marketplace, obviously, it's hugely in our advantage that we have AB as well. We are able to play in the private credit, private marketplace as well. So yes, we have to be alert to it. As Nick quite rightly said, we price on a diligent basis, but the thing I would point to for Equitable is the uniqueness of our distribution and the uniqueness of the business model will allow us to be competitive for longer than others who are just product manufacturers.
Thomas Gallagher: Got you. Thanks, guys.
Operator: And your next question comes from the line of Alex Scott with Barclays. Please go ahead.
Alex Scott: Hi, good morning. First one I had for you is on sort of that innovation process that I think you all were going through. I think there were a couple of different steps to it possibly, but any update that you can provide on how the regulatory approvals are going to that?
Robin Raju: Sure, Alex. Thank you. First-off, we're on-track for everything that we mentioned last year regarding innovation, lots of hard work from our teams to get there. There are two elements of it we completed in January, our innovation to Venerable that was a big piece. We moved almost 30% to 40% of our current in-force to Venerable. That helps reduce some of the counterparty credit risk that we hold economically. And so that was completed. The second step is we're moving business from our New York entity that was already reinsured, but now we're going to move it and innovate it to Arizona. That's on-track that we'll complete this year as well and so we have all the approvals we need. It's just state-by-state mailings, different rules by state, so we'll have three ways and we're on-track to complete this.
Alex Scott: Got it. That's very helpful. And then on the Bermuda entity that you set-up, can you help us think through the amount of capital that was initially seeded with and was that in 2024? I assume either '24 or '25 cash flow sort of includes the netting of having to supply that capital. So, I'm just looking to understand sort of if that's a more one-time item, then maybe I could think about cash-flow excluding that could be at a slightly higher level.
Robin Raju: Sure. So if you look in 2024, we're at the higher end of our guidance that we gave to the market at $1.5 billion. That includes some funding of the Bermuda entity already, so that's already completed and then, we'll continue to be on-track to achieve the higher-end of our guidance towards the $2 billion by 2027 and then that's all net of any expectations that we have in contributions in Bermuda.
Alex Scott: Got it. Okay. Thank you.
Operator: And your next question comes from the line of Jimmy Bhullar with JPMorgan. Please go ahead.
Jimmy Bhullar: Hi, good morning. I had a question on your group retirement business. And if we look at flows there, they've been negative the past few years and normally you'd think that that business as potentially growing given your presence in the teachers market. So, and I'm -- obviously, there's a number of different products and different things going on in each of those product lines. But if you could talk about the trends in that business by line and overall, just so we could get a better idea of the growth trajectory of that business going forward and also address what's been causing the negative flows.
Nick Lane: Sure. This is Nick. Look, we like where we play in the Group Retirement business, it's a steady source of growth going forward. As a reminder, it has three components, the tax exempt, which is the teachers business that you talked about, our corporate business and then our new institutional offerings. In short, sort of our tax exempt and institutional remains strong, and we're seeing positive flows for the year and the outflows are coming from the legacy corporate lower margin segments. Adding a little bit more color, tax exempts was positive for the full year of $77 million and we expect to continue to see, I would say, steady growth. This is where we have 1,000 dedicated retirement benefit advisors in 9,000 schools that are sitting down with teachers talking about the benefits of a supplemental retirement plan on top of their pensions and we think that's durable. Institutional, I highlighted that before. These are new efforts in plan, our partnership in HSA. Last year, we received roughly $600 million, and we expect similar type flows. We've already received $200 million in our partnership with our HSA offering. In the corporate, sales were up about 14% for the year. We did see outflows continuing as people as part of the trend move to the deaccumulation phase. We've been more episodic historically in our participation, but we're making concerted efforts there to improve flows and I highlighted the launch of our new pooled employer program, which aligns well with our equitable advisor distribution footprint of helping small businesses. The last comment I would just make is within corporate, the outflows, about 20% of those flows were participant distributions using the product as intended. Of the remaining, about 50% of those flows are being captured in other individual or wealth management solutions. So, we've got a well-diversified portfolio and would expect that to continue to deliver strong returns.
Jimmy Bhullar: Thanks. And Robin, on your overall tax rates this quarter, it seems low in a number of businesses. So what drove that and what's your expectation going forward?
Robin Raju: Hi, Jimmy. We did receive favorable audit results from previous returns, so that helps the tax rate this year. Going forward, we've given a guide, I mean, the main increase is in AB, as AB continues to generate revenue in more states that forces state tax and then we expect the insurance tax rate to normalize as well going forward, as I mentioned earlier.
Jimmy Bhullar: Thank you.
Operator: Your next question comes from the line of Jack Matten with BMO Capital Markets. Jack, please go ahead.
Jack Matten: Hi, good morning. Just maybe a question on the value of new business disclosure. You had a pretty nice uptick in 2024, I guess, can you talk a little bit more about what drove that in your outlook for 2025 and maybe directionally where you see our IRRs trending versus the 15% plus level. I know for RILA, you called out competition and tighter spreads impacting potentially those returns. So just, any other moving pieces that you would call out?
Robin Raju: Sure. So Jack, as Nick and Mark mentioned earlier, we've seen tremendous growth in the individual retirement business this year and that's really the primary driver of the strong VMB as we move into more capital light products like RILA, the floating rate VA. That enables us to deploy capital, but at an efficient rate and continue to have record levels of value of new business. Obviously, higher interest rates help us in this type of environment. That makes our products more competitive, but it also shows you we're very disciplined in maintaining margins when we can as we write new business. This is just really the reflection of our business model, distribution through equitable advisors, asset management yields generated by AllianceBernstein and disciplined product manufacturing in our retirement business. So overall, it's our really the Retirement business that's driving the exception of growth here.
Jack Matten: Great, thank you. And then one on Wealth Management. You're already getting pretty close to the earnings target you set for 2027, it seems like the underlying kind of growth drivers in advisor and wealth planner count are pretty robust. So just wondering if you're now expecting to hit that target maybe by even as soon as this year, I mean, just how you see productivity growth and margin improvement trending in 2025?
Nick Lane: Sure. This is Nick. As you highlighted, we're seeing strong momentum, $4 billion of advisory net flows for the year, 7% organic growth rate and good profitability, full year earnings close to $184 million. We're continuing to invest in areas like our award-winning Columbia holistic life planning training program and new areas like experienced hires, which we think will translate into future margin expansion as the business scales. Very encouraged by the leading indicators. Advisor productivity was up 10%. Overall headcount up 4%, wealth planner, which are three times more productive, is now roughly 825 advisors. So we think we bring a distinctive edge given our people, our planning and our platform. It puts us ahead of plan to reach $200 million. And once we get there, we'll reassess.
Jack Matten: Thank you.
Operator: And your next question comes from the line of Mark Hughes with Truist Securities. Mark, please go ahead.
Mark Hughes: Yes. Thank you. Good morning. What should we think about net flows in the asset management business? How does it look in the near term and what's the early read on 2025?
Onur Erzan: Hi, Mark. This is Onur. Let me take that question. We had a positive start to the year. It's too early to project the full year, but we feel very confident about the strength of our platform. If you reflect on '24, it was our second-best sales year. If you look at our global retail platform, we almost had the best year ever by achieving sales of $100 billion almost and that is really diversified across the U.S., Europe, Asia and Latin America. If I look at the early trend in the year, the things that give me a lot of positive confidence is our U.S. retail business continues to have good success, we are continuing to see strong momentum in particularly tax-exempt fixed income area, which is a strength area for us. We are a market leader with many of the strong distribution partners. Our Japan continued its strength. We have a very strong distribution platform in Japan, very diverse with 50 plus partners that is off to a very good start. And then finally, very encouraged by some of the progress we are making in insurance as Mark and others have commented in terms of our progress there, whether it's RGA as well as other wins with other third-party insurance clients on top of Equitable's strong growth momentum with annuities and other businesses. Obviously, we need to always be mindful of the risks. Equities have been challenged for us in '24. Institutional, particularly was the weak area. We have a lower AUM base in terms of at-risk assets in institutional equities, but definitely that will likely remain under pressure. So overall, positive outlook. But as we have seen in the last 10 days in the market, there's a lot of market uncertainty. We will be one of the stronger houses in the market, but we expect volatility as well.
Mark Hughes: Thank you for that. And then, Robin, you talked about the alt return maybe starting in the 5% to 6% range before grading up. Is that going to progress through the year or is there any reason to think 2Q couldn't be within the 8% to 12% range, do you have visibility for that?
Robin Raju: Sure, Mark. We'll certainly get guidance throughout the year as we get to know more information. Currently, where we sit, we think that 5% range is probably the right number for the first quarter. Obviously, we expect and everything that we hear is active M&A and IPO market as we go into the year and that will certainly help the private-equity alternative return. So, we'd expect in the full-year that we'd achieved at 8% to 10% that lower-end of that guidance range that we've given and that will progress naturally every year.
Mark Hughes: I appreciate that. Thank you.
Operator: And your next question comes from the line of Michael Ward with UBS. Michael, please go ahead.
Michael Ward: Hi, thanks guys. Good morning. Most of my questions have been answered, but maybe just on the deaccumulation theme and thinking about the Wealth business, specifically a solid momentum, of course. Just wondering if that's a segment that you might ever consider as an investment area inorganically like a bolt-on just to turbocharge that growth and take some share of the deaccumulation across the industry.
Robin Raju: Yes. As Mark and Nick mentioned it, the retirement opportunity is we're in the early innings here, 4 million Americans retiring every day, $7 trillion 401(k) market that needs to provide deaccumulation solutions. So we're very bullish on this. As Nick mentioned earlier, it's not in our 2027 targets, but we expect it to have an impact post 2027 and be a big part of our growth strategy overall. From an M&A standpoint on it, we -- our M&A strategy is very clear. We're focused on growing the strategy of Retirement, Asset and Wealth Management, where we want to grow and provide scale is within the Wealth Management place and private credit markets. Private credits, as you know, an acquisition like CarVal sits us quite well. It allows us to grow private credit capabilities, leveraging for our retirement products going-forward. So we're quite disciplined in M&A and we'll continue to focus on areas where we feel we could provide shareholder value.
Mark Pearson: And maybe just to add-on that specifically on Wealth Management. We continue to look at a disciplined standpoint at properties, but we're focusing on EXP hires. That's where we see as we've gone out with a new segment that our people planning, and our platforms are resonating out there and so it's at the small end right now where we see attractive returns.
Michael Ward: Okay. Thank you, guys.
Operator: There's no further question at this time. This concludes the meeting. Thank you all for joining. You may now disconnect.